Operator: Good afternoon, ladies and gentlemen, and welcome to the Empire Second Quarter 2022 Conference Call. At this time, all lines are in a listen-only mode. But following the presentation, we will conduct a question-and-answer session. [Operator Instructions] Also note that the call is being recorded on Thursday, December 9, 2021. And now, I would like to turn the conference over to Katie Brine, Director, Investor Relations, please go ahead.
Katie Brine : Thank you, Sylvi. Good afternoon and thank you for joining us for our second quarter conference call. Today, we will provide summary comments on our results and then open the call for questions. This call is being recorded and the audio recording will be available on the Company's website at empireco.ca. There is a short summary document outlining the points of our quarter available on our website. Joining me on the call this afternoon are Michael Medline, President and Chief Executive Officer, Matt Reindel, Chief Financial Officer, Michael Vels, Chief Development Officer, and Pierre St-Laurent, Chief Operating Officer, Full Service. Today's discussion includes forward-looking statements. We caution that such statements are based on management's assumptions and beliefs and are subject to uncertainties and other factors that could cause actual results to differ materially. I will refer you to our news release and MD&A for more information on these assumptions and factors. I will now turn the call over to Michael Medline. Thanks, Katie. And good afternoon, everyone. Before I jump into the quarter, our thoughts continue to be with all those affected by the ongoing disaster in British Columbia. We will continue to work with our local supplier partners as they navigate the impact to the food supply chain and infrastructure. We are extremely proud of our teammates who have navigated the crisis in British Columbia, in Newfoundland and Labrador, over the last several weeks. I also want to take a moment to welcome Matt Reindel, our new CFO, to this call. Matt has been with Empire for the past 2 years. He has been absolutely critical in setting up Project Horizon for success and has led our Longo's partnership. Matt joined Empire with extensive experience from Nestle.
Michael Medline: I also want to thank Mike Vels for his great run as CFO. As you know, Mike is an exceptional leader, and we are thrilled he has stepped into the Chief Development Officer role. Mike will now focus his many talents on continuous improvement in our execution, delivering our project Horizon targets, and our growing ambitions beyond Horizon. And let's talk about the business. It was a straight up good quarter. Well executed by our teams across the country, we're consistently putting numbers on the board. We have strong underlying momentum, and in only 4 1/2 months, we will be entering a crucial final year of Project Horizon, which we're feeling very good about. Today I want to cover 4 topics: our continued strong performance, how we're managing inflation, how we're seeing the full service versus discount split and e-commerce. First, our results. This was another strong quarter for Empire. Our sales grew 4.9% this quarter, while same-store sales grew 90 basis points from Q1 to negative 1.3%. As we and many others have said, year-over-year comparables do not tell the entire story, as we lapped strong COVID sales. Our same-store sales have grown 6.8% over the last 2 years. Our e-commerce sales, excluding Grocery Gateway, we're up 1.8%. But this number disguises the fact that Voilà has continued to grow while being partly offset by our iga.net and Thrifty Foods businesses, comping strong COVID-driven sales. If we include the Grocery Gateway, our total e-commerce sales were up 33%. Sales are up as we continue to execute on key occasions. Our merchants and operators did an exceptional job delivering great value to our customers for Thanksgiving and Halloween. We did this with a great customer experience in-store and online with exceptional assortment and great promotions. I'll speak more to inflation in a moment. But continuing to offer our customers meaningful value through promotions is more important than ever right now. We have enjoyed significant momentum with these big seasonal events. On top of that, our investments in our renovations and owned brands are paying off, especially in our full-service stores. Our renovated stores look and perform in an excellent fashion and you'll see this continue to accelerate our performance. This successful and significant investment in the interior and exterior of our stores sometimes slides under the radar, but I'm convinced this improvement in store experience will be a game-changer for Empire. And continuing to improve on our own brands offering is giving our customers increasing opportunities to save money without compromising on quality. We're very pleased with the progress we've made and expect this will pay off in the current inflationary environment. Empire's gross margin is strong and improving. Excluding the impact of fuel, we improved our gross margin rate by 72 basis points. This is on top of last year's strong margins and is largely due to our continued progress against Project Horizon, with the addition of Longo's, and our business mix returning a little bit more to normal. Linked to our robust gross margin results, our SG&A rate went up 27 basis points. This is because our higher-margin businesses, full-service; Farm Boy, Longo's, are becoming more and more successful. These businesses have higher gross margins, but also higher SG&A, which is why it is critical to look at our bottom line which is showing solid improvement. Overall, our SG&A expenses were very well managed. EBITDA margin grew year-over-year by an impressive 36 basis points to 7.7%. Our EPS performance was similarly strong at $0.66 up $0.06 from last year. Even more dramatic is our 2-year EPS growth, which is up 29% when we remove the impact of Crombie 's unusually large properties disposal of $0.06 in fiscal '20. I'm also very pleased to report that our free cash flow grew 72% over last year, even after funding a very healthy capital reinvestment program. Our strategy is working. We're growing sales, we're improving margins, we're managing costs. We're generating strong cash flows, we're delivering for our shareholders. We're halfway through Horizon and we have momentum and still the most upside in the industry. There is so much more to come as we get into fiscal '23. Next, I'd like to dig into inflation and how we're managing it. Inflation is unusually high right now. The rising cost of doing business is a reality that all businesses across the globe are facing. Not just in grocery, but we're managing it well. Our merchants and supplier partners are out there every day fighting to keep prices low for our customers. Our merchants are doing a fantastic job working with our data to utilize the effect of inflation on our customers, an example of how we're utilizing more and more data throughout our Company. And many of you are familiar with our unique, but successful approach to managing our relationships with our supplier partners. With our approach, we have risen to be ranked number 2 in the annual advanced supplier survey of the top 6 grocers in Canada. We were at the bottom of the ranking only a few short years ago. We were working diligently and respectfully together with our supplier partners to manage the cost increases coming through. It's actually because of these powerful relationships that we have been so successful in managing inflation and navigating any supply chain issues so far. Having relationships based on trust and transparency helps us keep conversations focused only on the real unavoidable cost increases so we can maintain the best value for our customers. And where inflation does impact us, our full-service network is in the best position to manage it. First, our higher-margin model is more adept at mitigating cost increases, and second, our broader assortment gives value-conscious customers a myriad of substitutions. Where we've had unavoidable price increases, we see customers sometimes substituting products within their baskets, but not leaving our stores. Now, over to the full-service versus discount split, a topic that has been popular recently. As we've accurately prognosticated quarter after quarter, we expect discount will return almost to pre -pandemic levels but slowly. In other words, we are not seeing fast significant changes, and in fact, we continue to see a lot of stickiness in our full-service banners. As we look ahead, we believe our full-service stores will keep momentum coming out of COVID. While customer occasions are starting to change, including more business to to restaurants. We are seeing a structural change in consumption of food at home. Over the past 22 months, customers have seen and experienced the affordability and convenience in eating at home with their families. We believe there is permanence in this shift. We're seeing this is how customers are shopping. Prior to COVID, customers shopped an average of 8 food stores a month. During COVID that dropped to 1 or 2 and today that number is steady at 5 to 6 stores. Despite this, our customers continue to favor larger shops to full-service stores. While some of this is COVID, we've also made significant improvements in the last 5 years to thrill our customers. We improved our offerings, strengthened our price perception, renovated our stores, to deliver an exceptional in-store experience. Our customers are giving us credit for it and that's why we think full-service will be sticky. There's an equilibrium in supply and demand between full-service and discount stores, and our full-service stores have never provided such value and service. Finally, I want to touch briefly on e-commerce. E-commerce is a small fraction of the market today, but it's growing quickly and is top of mind right now. For our customers, we believe it will be critical to have the best omni -channel experience that includes e-commerce. And for our shareholders, it will be critical that we do this profitably. We've run click-and-collect for years in Quebec and British Columbia. At best, it's an okay experience for customers and we know it's not profitable at scale. Ocado developed best-in-world technology that thrills our customers and is a profitable solution at scale. And reaching scale is not the same as reaching capacity. We'll get to scale much sooner than that. We were confident in our investment in Voilà in 2018 and now after running in the GTA for over a year and seeing the results, we're more confident in it than ever, especially after seeing how little progress non - Ocado technology has made across the globe. I'll pass it over to Matt in a moment. But as you can see, there's a lot of momentum at Empire. In a couple of quarters from now, we will be done laughing COVID results, as well our peers. We performed extraordinarily well when the chips were down during COVID. Very soon, the playing field will be level again, and that's good for Empire. I said many times that the second year of a 3-year strategy is the hardest. We're making investments, great investments that are improving our business and not get seeing all of the benefits. Next year, we expect our investors will see those benefits even more clearly. With that, I'll pass the call over to Matt for his inaugural report as CFO of Empire. Over to you, Matt, and congratulations.
Matt Reindel: Thanks, Michael. And good afternoon, everyone. So before I jump into our performance, firstly let me say how pleased I'm to have joined Empire's Executive team. And I just want to take a moment to express my thanks to Mike Vels, who has given me the best possible transition into Empire over the past 2 years. There's no question I have some very large shoes to fill, but the great news to Empire is that Mike is still with us in his new role. And together, we will ensure that the CFO transition is extremely smooth. I'm also extremely happy that for my first quarterly earnings release I get to talk about such strong performance. So let me provide some additional color on our results and then we can jump right into your questions. Gross margin was 25.3%. And if we exclude fuel, this represents a 72 basis points increase versus last year. Our promotional optimization tools continue to expand margins, along with the addition of the higher-margin Longo's business. We continue to sustainably improve our gross margin performance, and we're expecting more upside in fiscal '23 from our Horizon initiatives. Our SG&A was 21.2%, which was 27 basis points higher than last year. There's a number of puts and takes which drove this increase. First, Longo's has higher SG&A than our average, and we'll continue to see this mix impact until we comp their results next year. Second, our depreciation is higher mainly due to an increase in right-of-use asset depreciation under IFRS 16, reflecting an increase in occupancy costs. These increases were partially offset by lower incentive compensation accruals in the quarter. Our EBITDA increased by 36 basis points to 7.7%, driven by our strong gross margin performance, which was fueled by Project Horizon. We are now halfway through Horizon and on track. And we will continue to see Horizon benefits for the rest of this year, and even more so in fiscal '23.  The effective income tax rate for the quarter was 26.2%, which is slightly lower than our statutory rate, primarily due to our consolidated structured entities that are taxed at lower rates. We are still expecting that the effective tax rate in fiscal '22 will be between 26% and 28%, excluding the effect of any unusual transactions or differential tax rates on property sales. Earnings per share was $0.66, which included Voila dilution of $0.07 for the quarter. Our e-commerce platforms have combined sales growth of 33% over last year. But excluding the acquired Grocery Gateway business, our e-commerce sales grew 1.8%. This is primarily driven by the continued growth of Voilà, partially offset by the COVID related declines in iga.net. and Thrifty. Equity earnings increased year-over-year, mostly due to a higher level of activity from our Genstar real estate developments. Property lot sales in California accounted for the highest contribution this quarter. But as we said in the past, timing plays an important element in these Genstar sales. And this quarter is not necessarily indicative of an increasing trend. Crombie also had higher earnings due to reductions in their bad debt levels compared to last year, which was impacted by COVID. Our cash flow generation and balance sheet remains strong. Free cash flow generation increased 72% over last year despite the continued investment in our stores. This also allows for our continued share buyback program, and as of this week, we have repurchased approximately $4.8 million shares in fiscal '22 for a total consideration of approximately $190 million. Also, even with the Longo's acquisition, we have maintained our net funded debt to net total capital ratio at 3.3 times. Strong cash flows allow us to continue investing in our store network. During Q2, we improved 45 stores through renovation, redevelopment, or conversion. This included one new FreshCo store, with 7 more to open over the next few months. We will also open 1 new Farm Boy in the quarter and 2 more locations subsequent to the quarter, including 1 new and 1 converted site. Finally, I'd like to congratulate Farm Boy on their 40th anniversary last week. They've come a long way from a 300-square-foot produce store in Cornwall, Ontario to now a network of 42 stores and counting. Tomorrow marks the third anniversary since we welcome Farm Boy into the Empire family, and we are extremely pleased with the progress we've been able to make together. And with that, I want to wish you all a safe and happy holiday season. Katie, I'll hand the call back to you for questions.
Katie Brine : Thank you, Matt. Sylvie, you may open the lines for questions at this time.
Operator: Thank you. [Operator Instructions]. [Operator Instructions]. [Operator Instructions]. [Operator Instructions]. [Operator Instructions]. And your first question will be from Patricia Baker at Scotiabank. Please go ahead.
Patricia Baker: Thank you very much, operator and good afternoon, everyone. Michael, I have one question and then a follow-up. My first question is directed -- I'd like to unpack a little bit your assertion that there's a structural shift to more eating at home. And it's -- interestingly enough, we heard very similar comments, in fact, that very phrase from Rodney McMullen last week on their earnings call. So I'd love if you could just share with us your thoughts and what is the thinking, what is it that has led you to that conclusion? And then obviously, if that is the case, it will be a nice tailwind over the next several years for the grocers in general.
Michael Medline: I won't bore you with how many pieces of data we look up?lab? to make that conclusion in our business and the way we look at it, and how we are -- our understanding of Canadian customers in the market. And we also looked at our own results. And we're seeing basket sizes remain at elevated levels to the extent that we believe these -- all these data points, plus where we're seeing a basket size are indicating, not only sticky situation, but in some cases are probably permanent shift. And so yeah, I agree with Rodney that that's happening in Canada as well as the United States.
Patricia Baker: Okay. Thank you that. And then my follow-up just that I'm not sure if it's for Matt, Mike, or yourself. But just in the press release this morning, you reiterated the fact that in fiscal 2022 you anticipate the dilution from Voilà will be in that range of $0.25 to $0.30 per share, which is a number that you've given us several quarters ago and secondly, also confirmed that you believe that this will be the peak year for a Voilà dilution. So just looking at the fact that you didn't change anything there, am I right in assuming that that is indicating that you are seeing exactly what you want to see respective to Voilà and the first facility and the progress that you're making cost-wise, etc., in Montreal that things are going as you had anticipated and there's no serious change that would cause you to have any different viewpoint or outlook for how you think that's going to perform over the longer-term?
Matt Reindel: Yes. Patricia I'll take that. The very simple answer to your question is, yes. Our dilation for the year is expected to be $0.25 to $0.30, within that range. And at F '22 will be the peak of the dilation. So nothing has changed from that from our expectations.
Michael Medline: And just to add on, it's Michael, that I don't -- now that we have Grocery Gateway every year under our belts with Voilà, probably in the GTA no one has a better view of what actually goes on in e-commerce across the landscape than we do. And I think people don't quite understand e-commerce sometimes and the seasonal shifts you see in e-commerce. And so we have a very good understanding of what's going on in the business and our confidence level remains very high.
Patricia Baker: Okay. Thank you very much for that, both of you.
Michael Medline: Thank you, Patricia. Have a good holiday.
Patricia Baker: You too.
Operator: Thank you. Next question will be from Karen Short at Barclays. Please go ahead.
Karen Short: Hi. A couple of questions. First of all, wondering if you could provide what the actual inflation number was in the quarter and what your thoughts are as we go into calendar '22. And then within that, you talked about customer behavior and improved or strength in private label. So maybe triangulate that with behavior from the customer perspective.
Matt Reindel: Well, I'll kick that off and then hand you over to Pierre for the owned brands. With the -- consistent with what we've said in the past that, Karen, we're not going to give our internal inflation number. It's not something that we normally provide. Any add-on?
Pierre St-Laurent : No. I think it's obvious that our owned brands, it's a very strong option for customers to mitigate inflation. And our relaunch of this brand could n't have come at a better time for us. And as you -- we did the rebranding more than a year a go, we did the rebuild in many categories already. So really pleased with the progress we've made there. We are seeing, even if not the main metrics we're looking at, because we need to make sure that as I said in the past, owned brand are playing a key role and that meaningful role in every single category. We're seeing our penetration growing period after a period, which is a good sign for how it's accepted by our customer, all revenues that we offer. And it's really good for our financials because we strongly believe that it's a good margin generator for us.
Karen Short: Are you seeing trading down as a function -- as a result of inflation and/or are you passing on all cost inflation? If you -- could provide any color on that?
Pierre St-Laurent : There is cost increase pressure on both owned brands and national brands. However, we have more leverage to mitigate those costs on owned brands than on private -- than on owned brands. So we're facing the same issue. The cost of ingredient don't changed. The cost of packaging don't change. The pressure -- the inflation -- inflationary pressure doesn't -- don't change, but because it's our own brand, we have more leverage to mitigate those increases. So that is why it's -- we'd be more and more popular option for customers, and it's good for our bottom line as well. So it's a win-win situation for both customers and us.
Karen Short: Okay. And then it's been over a year in terms of the GTA with Voilà. I'm just wondering if you could give a little color on what that in specifically, in GTA, what e-commerce is as a percent of sale? And then how you see that trending over time, generally speaking? And I'm only specifically asking for GTA, obviously.
Michael Vels : Sure. It's Mike Vels. The market has grown plenty through COVID. As we come off COVID there's been some return to stores, but the Canadians, and particularly our Voilà customers, are much more comfortable about ordering online. And we continue to see the bullish about the penetration of online grocery, particularly in the urban centers. Well, we're not currently providing a breakdown on our sales. But I will tell you that for us it's obviously growing and has been growing since we opened the facility. We've been growing our assortment consecutively every month and that business has good momentum.
Karen Short: Okay. Thank you. Happy holidays
Michael Medline: Thank you, you too.
Operator: Thank you. Next question will be from Kenric Tyghe at ATB Capital Markets. Please go ahead.
Kenric Tyghe : Thank you and good afternoon. Michael, I wonder if you could speak, two-part question on promotion and intensity. So the first one would be, can you speak to the increase in promotional intensity in quarter and perhaps where in stores its most pronounced? And the second piece to that question would be, how much smarter across the market has promotion activity become and how much smarter do you think you are and how much room is there on that journey?
Michael Medline: Sure. What was the second -- how -- I'm probably going to answer that we're smarter somehow, but what was the question?
Kenric Tyghe : How much smarter has the market become in terms of its promotional activity, promotional programs? And in that context, do you think you're tracking ahead or behind in terms of that increase in how much smarter the market has become?
Michael Medline: [Indiscernible] answer the first part and then?I'll be here? if there's anything to add. But in terms of competitive intensity, promotional intensity, we're seeing no difference from pre -debt -- pandemic times. Pierre, did you have anything on that?
Pierre St-Laurent : No, unless that -- because we are dealing with a lot of volatility right now for various reasons that we know on supply chain, on inflation, but now we're using more and more data and tools. So that's really helpful to manage the situation. So we're using data that a human cannot use. So we have a good outcome from the tools that we implemented over the last year. So it's why we have been able to quickly adjust our mix, our promotion. And our promotion remained extremely relevant for customers, and it's why our margins continue to grow in that very volatile [Indiscernible].
Kenric Tyghe : Thank you. And then if I could just on supply chain and supply chain-related pressures, can you just speak to with respect to your build-up with any potential risks or do you see that as being fairly well-contained from a timing perspective?
Michael Medline: You're talking about store build?
Kenric Tyghe : Yes.
Michael Medline: Okay. Mike, you've got real estate.
Michael Vels : The program is really moving ahead according to our expectations. Having said that, the most significant challenge that we're facing, and I'm sure anybody who's tried to build anything or do anything that involves logistics and materials these days will agree that it's becoming more complex and harder to stay on time. So we are mostly making sure that we run our store renovation program. We order well in advance and that program is still managing very, very well. On CFC 3, we've finished our part of that build some time ago and handed it over to Ocado. And they are well on track to be finished on time.
Kenric Tyghe : Thank you. I'll take it back in the queue and happy holidays, folks.
Michael Medline: You too, Kenric. Thank you.
Operator: And your next question will be from Irene Nattel at RBC Capital Markets. Please go ahead.
Irene Nattel : Thanks and good afternoon, everyone. Just wondering what you're seeing in the marketplace around competitive intensity with -- certainly as consumers become a little bit more aware and sensitive to the rising inflation.
Pierre St-Laurent : We're not seeing more intensity from our competitors. The thing we are seeing, everybody try to playing around high volatility. So it's why it could be different year-over-year. But I think we are all facing the same issue and -- but we're not facing more competitive intensity right now. So -- and it's vary by category depend of inflation. In some period of time it's one category, in another period of time it's another category. It's why we're seeing, when you're talking about change, when we look at the competitors, on competitors. But overall, I think we are not -- we remain extremely competitive like we had been over the last many, many years. So we're competing all the time. And that's great. Thank you. And then, just on a slightly different topic. I want to come back to the whole gross margin, SG&A. So if we were to put aside the mix changes resulting from Longo's and the like, and also the impact of e-commerce, what would be the cadence on the underlying business with respect to both gross margin, SG&A?
Matt Reindel: Let's take gross margin first. The biggest driver of gross margin, our gross margin enhancement is promotional optimization through our Horizon tools. That's something that improved our margins last year, improved our margins this year, and we will continue to expect that that will enhance our margin next year, particularly as the teams get more and more comfortable with using that tool. And then on SG&A, as we said in the script, there's quite a few moving pieces within SG&A, so it's hard to predict that. I think the -- there's those higher SG&A businesses, which are also our higher-margin businesses like full-service and Farm Boy, will continue to grow. So that will increase that rate. But then our ongoing cost control, which is very strong in the Company, will -- should mitigate that. We may have reached a point of a run rate of SG&A for the foreseeable future.
Irene Nattel : That's great. Thank you very much and happy holiday.
Michael Medline: Thanks Irene. Have a good one.
Operator: Thank you. Next question will be from Mark Petrie at CIBC. Please go ahead.
Mark Petrie: Good afternoon. Just had a few follow-ups actually with regards to e-commerce. Regarding the Voilà dilution, it was a step-up from what we saw in Q1. Is that a reflection of the preparation in Montreal or was there any change in the dilution of the Toronto CFC as growth rates have evolved?
Michael Vels : And Mark, that's primarily as we add costs into our system to prepare for Montreal. So as I just mentioned to Kenric, we've pretty well completed our construction. Ocado is pretty well done with the inside of the facility. We'll be starting to inbound the product fairly soon. And as you can imagine, there's cost that come with that, both Ocado fees and also we're hiring to ensure that we are ready for our go-live. So that would be the primary reason for the increases in dilution this quarter and going forward.
Mark Petrie: Yes. Okay. And then just related to that, obviously the ramp up in Montreal is going to look a lot different than it was in Ontario, simply because of -- you are bringing customers over from IGA. So how should we think about the dilution progressing in Q3, Q4? Could -- or should Q3 be higher than Q4?
Michael Vels : Well, I think if you do the the math, our range is 25 to 30. So far we've got 12 year-to-date. And so I think depending on how the volumes and the winter periods goes with the GTA facility, I think the math will tell you that we'd be at or slightly higher than the Q2 dilution ratio.
Mark Petrie: Yes. Sorry. I was just trying to gauge Q3 versus Q4. That's all.
Michael Vels : Oh, I see. Thank you. Sorry. Again, to some extent, very responsive to volumes in the first CFC, but the cost would be ramping up in Montreal. So, you'd expect all things is being quoted to be a higher number in Q4 than Q3.
Mark Petrie: Okay. And then you highlighted the importance of seasonal in the in-store business. And I'm just wondering how Voilà performs around those types of occasions? Do you see a shift in the relative popularity of e-commerce versus store shopping? And is there a shift in basket composition online? Is it different from what you would see in store?
Michael Medline: I'm just trying to think. And while I've only gone through one series of this, I'm trying to think about it through. But I'd say that it's -- yes, you will see seasonal shifts obviously in basket and baskets get larger, but I'd have to check, Mark, in terms of whether it's all the way up to what you see in stores, maybe a tiny bit less amplitude, up and down seasonality from occasions, but there is quite a bit of seasonality in terms of volume to times of the year in terms of the value.
Mark Petrie: Okay. Thanks.
Michael Medline: Thank you. Good question.
Mark Petrie: Okay. And then one more if I just could. Just with regards to Farm Boy, I just want to -- are you seeing the same trends in that banner in terms of elevated demand for full-service store? I mean, I know it's not quite full-service the same way as a Sobeys, but in that direction. And also, have the different formats that you guys have tested perform ed? And I think these are the first conversions from Sobeys stores that are happening now. But if that's not the case, how have those performed and how are you feeling about the opportunities for that going forward?
Michael Medline: First question, absolutely. We feel the way about Farm Boy in terms full-service as you mentioned. The second is we got a while with our first -- I can't remember when it opened, but I went visited it. It was a little while ago. And I'd say the biggest surprise to us is we knew we could convert Sobeys, especially open fresh, but others Sobeys to Farm Boy. But I think that our -- we found more locations which have been more successful than we imagined, is the way I would put it. So when we did the model, we bought it, we knew there would be some, but we wanted to test it before we got too excited. And the ones that we have converted, very, very pleased with the results and what we're seeing from the Farm Boy.
Mark Petrie: Okay. Excellent. Thank you very much and all the best.
Michael Medline: Thanks, Mark.
Operator: Next question will be from Michael Van Aelst at TD Securities. Please go ahead.
Michael Van Aelst: Hi, good afternoon. I wanted to just finish up on the e-commerce. I guess -- in response to Mark's question, you implied that the dilution would increase in Q3, Q4. So let's just say that you're running at closer to $0.09 by Q4. Had that -- on an annualized basis, that's like $0.36, but you're saying peak dilution will be in 2020 -- in fiscal '22. So as we go to fiscal '23, what causes that to come down that dilution? Is it because Montreal ramps up much quicker because of the existing business, and therefore, it only stays more diluted initially because of the ramp up, or is it a combination of that, and of course, Toronto coming to break even?
Matt Reindel: The primary driver of that is absolutely CFC 1. As that CFC continues to grow volumes and get more efficient, dilution decreases for CFC 1. That's the main driver.
Michael Van Aelst: Okay. And should Montreal's dilution follow a similar pattern as what we've seen in Toronto?
Michael Vels : Sorry, Michael, we're battling for the microphone here. It will be less on an absolute basis for 2 reasons. First of all, as you correctly pointed out, we have an existing base of customers and we're also starting with an exceptional assortment which is different from how we started in Toronto. And we also have many of our back-office and infrastructure costs in Toronto which we don't have to replicate in Montreal. So it's a lighter absolute number than the CFC 1 experience.
Michael Van Aelst: Okay, great. Thank you for that. And then on the inflation, a lot of indications are pointing to a spike starting in January. I don't know if you could comment on that based on what you're seeing. But is there a level of inflation that you believe it becomes problematic for margins, in that once you get beyond that level, it starts to put pressure on margins because you can pass it all through?
Pierre St-Laurent : Yes. At some point, as we said, if inflation is too high, customers can leave the product or the category for substitution. And it's why we believe in our full-service business with our large assumption, there is many, many options for customer to mitigate that. When we have asked from supplier, we're working with them, we're working in collaboration. Even we teach them or coach them to look at the potential impact of rising cost of prices too fast. Because if you lose a customer in a category, it will take a lot of time to recover that.  So yes, everybody is concerned about it, supplier and us, and -- but I think we'll find always -- it's an industry issue, it's a worldwide issue. We're working really well, in fact, in the food industry to mitigate costs increase. If we compare how we manage inflation right now compared to other industry, I think we're doing a pretty good job. And that's because the relationship we have -- the strong relationship we have with supplier, and we look in our business for long term. But that's just point of time. There's no assigned that will have an impact on our margin.
Michael Van Aelst: Okay. And is there -- would 5%, 6% be the area -- the inflection point?
Pierre St-Laurent : If I can predict that, I would be more rich for sure. But no, I don't think it's -- I think it's very tough to predict. And once again, it vary by category. So that's the trigger. Over the last couple of months, inflation was very high in meat. We are seeing going down slightly. Now we're seeing more inflation in product. So it's very volatile by category. So very tough to predict over time and it's depend the weight of the category into the basket and into the format. I personally hate averages for that reason.
Michael Van Aelst: Okay. All right. Thank you. And just finally, on the NCIB, you only bought about 600,000 shares in Q2, but 3.3 million in Q1. So should we look at the -- on average, you're on pace to get pretty close to your full buybacks. Should we expect you to get close to that and pick it up in the second half, and be something similar to what you had for all of the first half?
Matt Reindel: Well, on NCIB we're always balancing the cash flow needs of the Company in terms of how many shares we buy back in a specific quarter. So that's the main reason for the difference in Q1 and Q2. We still see share buybacks as a great use of cash, so we'll continue to do that. But again, we'll balance our cash flows for the balance of the year. But we expect it to go up. We expect it to be higher certainly, versus what we did in Q2 and in Q3 and Q4.
Michael Van Aelst: All right. Thank you. Have a great holiday.
Michael Medline: You too.
Operator: Thank you. And your next question will be from Peter Sklar of BMO Capital Markets. Please go ahead.
Peter Sklar: Good afternoon. On a couple of questions. Like you've already touched on this, which is your analytical promotional optimization, which is really facilitating your margin improvement. Can you just elaborate a little bit on what you're doing and what has changed? Is it you have more data, you have more software, more training for your merchants? So when you use that expression, maybe just elaborate a little bit on what you've accomplished there.
Pierre St-Laurent : We're just leveraging more and more the data. We had [Indiscernible] in the past. So I think that's the improvement. It's -- the quantity of data we had [Indiscernible] in the past was just amazing. We just -- we are just able to [Indiscernible] more now than we did in the past. And the team has better, I would say, recommendation, insights than in the past. And better information means better decisions. And we remain reliable -- we continue to rely on people. But the quality of information they have to make decision, it's much better than -- more than the past.
Michael Medline: Pierre is being -- sorry if I may interject. I think Pierre is being a little modest. I think Kian is -- and his team and our merchants have completely and early embraced the fact that we are -- that this is better for customers and better for our business that we have a data analytics team that works hand-in-hand with our merchants and others in Peter's group. And it was really -- Peter's right. We always have the data. We told you that we had -- we're going to have better and a better data. It's just a matter of the merchants and others having confidence in our plans. And they do, and they see the ramifications and the results and they're embracing it more and more. So we're not nearly done here. But I think it's putting the data in good order, but it's really having that data analytics team and then merchants embracing it. And we've seen that and that's why we're getting results are good.
Peter Sklar: Okay. That makes sense. Can you talk a little bit about the Olympics? Was there any spend in Q2? And will we see accelerated spend as in the next few quarters or the next couple of quarters as we go into the Olympics? And will it be noticeable in terms of as your results unfold?
Michael Medline: Well, we're really excited. We really like d what happened at the Summer Olympics and what we saw in terms of what -- how we performed against competition in terms of perception of our customers. And I think the marketing team did an extraordinary job for their first Olympics. They've even gained some better ideas for the upcoming games. We're really excited. Oddly, both games fall in the same fiscal quarter, which is odd and probably will never happen again. I think you'll see maybe a little bit of extra SG&A, but we move our -- in terms of marketing, but it'd be -- I wouldn't worry too much better. We move our spend around and concentrate on different things. And so we'll put more emphasis on the Olympics and maybe a little bit less emphasis on a few other things.
Peter Sklar: Okay.
Michael Medline: Thanks for the good question.
Peter Sklar: Okay.
Michael Medline: Thanks for the question.
Peter Sklar: And then just my last question. You've talked -- you've explained how the ramps work for GTA -- on the CFCs, for GTA, and Montreal. What's your sense of timing on Calgary? And have you broken ground there? And when do we start to see the dilutive impacts of Calgary?
Michael Vels : We have started construction in Calgary. We're planning to be open in Calgary at '23, first half. So similar to Montreal, probably a couple of quarters before that open.
Peter Sklar: Okay, great. That's all I have. Thank you.
Operator: Thank you. And your next question will be from Vishal Shreedhar at National Bank. Please go ahead.
Vishal Shreedhar: Hi. Thanks for taking my questions. Most of my questions have been answered, but maybe I'll start with just a longer -term strategic question. This management team has been pretty bold and they've made some big bets on the future. So I'm wondering, as you look at your entire business, 2 businesses that I don't hear as much talk about quarter-to-quarter, your c-store business and your pharmacy business. Wondering if management's looking at -- if it considers those businesses to be core or you're looking at the attractive in multiples in the market and you could take that capital and reallocate elsewhere.
Michael Medline: I've had the -- I think I've had the same answer for next month, 5 years, which is we like these businesses, they make us money. We will always assess all of our assets on behalf of our owners, our investors, to ensure that the -- that we're putting our capital on the right way. And as long as -- I would say as long as you're with us and you're part of the family, you're core. But if we assess that there are new members of the family like we've brought on or that we can monetize assets going forward and makes sense to us and it's good for our business and good for our owners, many of whom are on the line today, then we'll do it, we'll make all the right decisions. But right now, these are core businesses and we're happy with their performance
Vishal Shreedhar: Okay. And switching gears here. Obviously quarter-to-quarter management is now showing progress with Project Horizon and you've indicated that side you're pleased with the progress to date. at the time that Project Horizon was vindicated, it was pre - COVID and there was a $500 million growth in EBITDA by fiscal 2023. But that base doesn't include Longo's, it doesn't include the structural potential benefit that we may see in the market. So as management evaluates that target, and I know last time with Sunrise you took another look at it and you eventually increased that expectation. So what does management need to see to get more cost in? And perhaps if there's upside to that target or is it a question of market volatility?
Michael Medline: It's a good question, but I'm going to?Groundhog Day?, which is that -- and answer the same thing. I said, basically, at the same time, in the second year of Sunrise, which is we have a target. We're going to hit that target. And if we can beat that target, we'll beat it. I am so proud of the team to still be on Horizon. We're so confident on Horizon at this point, which was pre - COVID, previous inflation, some of the labor, the wages, issues, and some of the other things that they're facing, and to face all that. Still be on target for that $500 million, and then we'll see from there. But just like I said, during Sunrise, I'm not -- the team knows what it's?go over?. If they can overachieve, they shall do so.
Vishal Shreedhar: Thanks for the color
Michael Medline: Thanks, Vishal.
Operator: Thank you. Next question will be from Chris Li at Desjardins. Please go ahead.
Chris Li : All right. Good afternoon. I'll maybe start with a question on owned brands. Can you remind us, are you pretty much done with the reset?
Pierre St-Laurent : More than the halfway, I would say. And as you know, developing a new product take more time, finished product is faster. So some element of the rebuilt are already done. So -- but we are already seeing positive trend on both penetration and rate, which is a good sign, and it's just the beginning because the rebuild has been done. Part of category has been done last -- not last year, last quarter. We are in another group of category. So I think it will just continued to grow. We are just at the beginning. I would say maybe 1/3 of the benefits have been captured on annualized basis and we'll continue to grow.
Chris Li : Perfect. And maybe just follow-up on that. Are you able to provide us with some data on what the penetration is for private label, if not the absolute level, maybe, just the growth now versus, say, 2 years ago before the project started? Just to give a sense of just how well the program is doing from a customer perspective.
Pierre St-Laurent : Once again, I don't like that QPI for obvious reasons. And once again, it depend by category. In some category, the penetration is much higher because I think owned brand is meaningful in that category. In other brand, there's no need to have owned brand. So once again, because I hate averages, I won't go there. But once again, it depends on the category and it will continue to grow overall compared to where we are. We are using a lot of exclusivity as well. So it depend with the definition of private label. I think an exclusive rent to us if it's not compliment or finish could be consider as a owned-brand. So we have many, many strong partnership like that with supplier. We're exclusive with many suppliers for product that customer really enjoyed. So overall, I think we have a good assortment unique to us to build loyalty with our customers.
Chris Li : Perfect. Okay. Great. And then maybe just a question on Ocado. I believe that the U.S. International Trade Commission is in the process of reviewing defend infringement lawsuit brought on by AutoStore against Ocado. I guess my question is, in the event of an unfavorable ruling against Ocado, would that in any way impact the service or the rollout plan for [Indiscernible] in Canada? Thank you.
Michael Medline: We won't comment on the first part of the question. But the answer is no, it won't impact it.
Chris Li : Thanks, Michael and all the best through the holiday.
Michael Medline: Thank you. You too. And thanks too. I know -- I think you might be the last question, Chris. So before the operator comes on, I want to thank the investment community side-by-side for everything during the year and wish you-all great holidays and safe holidays and a fun one with your family and friends. Appreciate your keeping track Empire and your questions keeping us honest. Thanks so much, appreciate it.
Operator: Thank you. And at this time, I would like to turn the call back over to Katie Brine.
Katie Brine : Great. Thank you, Sylvie. We appreciate the continued interest in Empire. If there are any unanswered questions, please contact me by phone or email. We look forward to having you join us for our third quarter fiscal '22 conference call on March 9th. Happy holidays.
Operator: Thank you. Ladies and gentlemen, this does indeed conclude your conference call for today. Once again, thank you for attending. And at this time, we do ask that you please disconnect your lines.